Operator: Good morning, and welcome to Fluor's First Quarter 2024 Earnings Conference Call. Today's call is being recorded. [Operator Instructions] 
 A replay of today's conference call will be available at approximately 10:30 a.m. Eastern Time today, accessible on Fluor's website at investor.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available for 7 days through a registration link also accessible on Fluor's website at investor.fluor.com.  
 At this time, for opening remarks, I would like to turn the call over to Jason Landkamer, Head of Investor Relations. Please go ahead, Mr. Landkamer. 
Jason Landkamer: Thanks, Jayel, and good morning, everyone. Welcome to Fluor's 2024 First Quarter Earnings Call. David Constable, Fluor's Chairman and Chief Executive Officer; and Joe Brennan, Fluor's Chief Financial Officer, are with us today. Fluor issued its first quarter earnings release earlier this morning, and a slide presentation is posted on our website that we will reference while making prepared remarks. 
 Before getting started, I'd like to refer you to our safe harbor note regarding forward-looking statements, which is summarized on Slide 2. During today's presentation, we'll be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and expenses could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences, in our 2023 Form 10-K and in our Form 10-Q, which was filed earlier today. 
 During this call, we will discuss certain non-GAAP financial measures. Reconciliations of these amounts to the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. 
 With that, I'll now turn the call over to David Constable, Fluor's Chairman and Chief Executive Officer. David? 
David Constable: Thank you, Jason. Good morning, everyone. Thank you for joining us today. 
 Please turn to Slide 3. To get started today, I'll briefly highlight a key component of our Fluor Nordic strategy centered around our technology hub in Europe. This hub, established 3 years ago in Copenhagen, is central to our growth strategy in the Nordic region. Its purpose was to establish a regional presence that is close to our customers as well as providing a collaborative center for our clients, Fluor subject matter experts and local subcontracting partners. Strategically, our vision for this office was to be fit for purpose and able to service the advanced technology and life sciences markets. Today, the local team supports key clients, such as FujiFilm, Eli Lilly and Novo Nordisk, in the biopharma space and advanced technology clients, like Intel, Northvolt and Microsoft. This hub is a great example of our global operations in action within this growing market and a significant supporter of results in the Urban Solutions segment. We're looking forward to continuing traction in these markets as a result of our strategic decisions. 
 Now let's turn to our operating review beginning on Slide 4. Revenue for the first quarter was $3.7 billion. Consolidated new awards for the first quarter were strong at $7 billion, led by key awards in our Advanced Technologies & Life Sciences business line. Our book-to-burn ratio for the quarter was 1.9. New awards were 97% reimbursable, and our total backlog is now $32.7 billion, of which 80% is reimbursable. Our margins on new awards continues to reflect strong demand for our services. Specific to the margin profile, new award margins continue to outpace margin on existing backlog by an average of over 150 basis points for the past 5 quarters. We continue to invest in our people and systems as execution excellence, and positioning for future work remains a top priority for Fluor. Our pipeline of current and prospective feeds and studies through the end of 2025 represents a total install cost of 14x the size of our current backlog. This pipeline is being led by opportunities in life sciences, semiconductors, data centers, energy transition as well as key prospects in mining and metals. 
 Moving to our business segments, please turn to Slide 6. Urban Solutions, our largest and most diverse segment, reported a $50 million profit in the first quarter. Results in this segment reflect the strong ramp-up of execution activities on several recently awarded projects, including 2 life sciences projects, a green steel project and 2 semiconductor projects. New awards for the quarter were $4.9 billion compared to $1.8 billion a year ago. Any backlog is substantial and now stands at $18.6 billion, 78% of which is reimbursable. 
 Now please turn to Slide 7. In Mining and Metals, our client Gold Fields achieved first gold at the Salares Norte project in Chile. This location, at altitudes between 13,000 and 15,000 feet, was extremely challenging and demanded an extraordinary level of modularization never seen before on a project in the Andes. Speaking of Chile, the Fluor joint venture received full notice to proceed for the expansion of Antofagasta's Centinela copper-gold mining operation in Sierra Gorda. When completed, this project is estimated to produce 144,000 metric tons of copper, 130,000 ounces of gold and 3,500 metric tons of molybdenum. We recognized approximately $740 million for Portsmouth [indiscernible] award in the first quarter. This strong start in Mining & Metals is anticipated to continue over the next 3 quarters with nearly $4 billion in prospects across aluminum, rare earth refining, port debottlenecking and lithium projects in the United States or Ioneer. We're particularly encouraged with the progress on this last prospect as Ioneer has stated that the Bureau of Land Management has completed its draft review of the environmental impact study.  
 Moving to Slide 8. Advanced Technologies & Life Sciences had another very strong quarter and continues to invest in people and support infrastructure to meet demand. New awards for the quarter included a $3.2 billion EPCM award for full notice to proceed on the Eli Lilly manufacturing facility in Indiana that broke ground in 2023. Over the past few months, we're seeing the CHIPS Act beginning to kickstart semiconductor investment in the United States, including 2 government grants that we're currently working on in a limited capacity. We expect this will support not only current positioning work but more significant awards later this year and into 2025. On a parallel track, clients are orienting their CapEx plans toward data centers to support AI. While it is still early days, we are well-positioned to support our clients in this space. Looking ahead, we see data center investments gaining momentum in the U.S. Midwest, the European Union and Asia. 
 In Infrastructure, productivity remained strong on the Gordie Howe project. This project is now 74% complete, and we're on track for bridge connection midyear with handover of both ports of entry later this year. On the Automated People Mover project in Los Angeles is now 84% complete. Our joint venture continues to work collaboratively with the client for cost recovery entitlements and alignment of schedule to match their time line. Our last legacy infrastructure project, 635 LBJ, continues to progress and is currently 63% complete. 
 Finally, Plant & Facility Services secured nearly $700 million in new work, including a 7-year contract extension with SunCoke and a 5-year renewal supporting the maintenance and sustaining capital project work for a power generation company we've worked with for the past 40 years.  
 Moving on to Slide 9. Mission Solutions reported segment profit of $22 million for the first quarter compared to $7 million a year ago. New awards increased during the quarter to $1.1 billion and includes the Air Force Contract Augmentation Program V that has a 5-year period of performance valued at approximately $409 million. On this project, we will be providing construction and transportation support for Tinian airfield that is located in an area closely aligned with the nation's national defense strategy for the Indo-Pacific region. Also during the quarter, we received extension notices for a number of projects we are currently executing, including Paducah, the Strategic Petroleum Reserve and Portsmouth. 
 Ending backlog for the quarter was $4.4 billion. It's important to note that the earnings potential for this segment is not fully represented by total backlog. Current and future earnings for this segment also included contributions from projects accounted for under the equity method of accounting. This is reflected in our margin guidance for Mission Solutions. Looking ahead, prospects include additional task order awards for missions in the national security space as well as incremental assignments under the LOGCAP program. Also note that we expect to hear a decision on the Pantex award by midyear. 
 Moving to Energy Solutions, please turn to Slide 10. Segment profit decreased to $68 million from $88 million a year ago. Results for the quarter reflect $29 million in cost growth for delays, craft labor and material escalation on a construction-only subcontract for a non-Pemex client being executed by our joint venture entity in Mexico. Fluor's portion of this unit rate subcontract is approximately $200 million. These cost increases were recognized in the first quarter. However, the joint venture is working with the client to establish commercial resolutions to project impacts. New awards for the quarter totaled $716 million and included an EPCM award for refinery work at Johnson Matthey's Roystone site in the U.K. This is a reimbursable sole-sourced award that rolled over from the initial fee package. Also, we recently received a pre-FEED award from a confidential client for a mega integrated refinery and petrochemical complex in the Middle East. 
 On LNGC, progress is in excess of 90%. With over 5,000 people on site, the project is in full systems completion mode with a focus on testing and commissioning activities for LNG Canada. We expect to be ready for safe start-up in the second half of 2024.  Moving to Shell Penguins, Fluor is currently handing over systems on this legacy offshore platform and will complete the remaining commissioning activities later this month. 
 For the remainder of 2024, this segment is pursuing energy transition projects across a number of end markets, including battery manufacturing, renewable fuels, reimbursable offshore LNG and traditional refining. Regarding the liquids and chemicals projects in Saudi Arabia that we've discussed over the past few quarters, the client has decided to put this program on hold as they reevaluate the best approach to development. The collaboration agreement we have with this client remains in place, and we continue to ramp up in [ Kingdom ] for a variety of activities.  
 Finally, with respect to NuScale, we continue to make progress with our strategic investor on the monetization of NuScale shares held by Fluor. With the ever-increasing demand for carbon-free power, which more recently includes the build-out of high-energy-consuming AI data centers and semiconductor facilities globally, investor and power offtake interest, based on the commercialization of NuScale's industry-leading SMR technology, has never been greater. We'll continue to provide updates on this front in the coming quarters of 2024. 
 Based on Fluor's performance over the past 2 years, it's clear that the significant demand for our services across the portfolio allows us to protect our margin corridor of 4% to 6% and provide strong support for our full year guidance expectations. 
 With that, let me turn the call over to Joe for the financial update. Joe? 
Joseph Brennan: Yes. Thanks, David, and good morning, everyone. Today, I will review our results for the first quarter and go over financial outlook assumptions that support our guidance. 
 Please turn to Slide 12. As David mentioned, for the first quarter of 2024, revenue was $3.7 billion. Our consolidated segment profit for the quarter was $118 million. Results reflect the normal seasonality we see for the quarter and the $29 million charge David previously discussed. Adjusted EBITDA for the first quarter was $88 million compared to $71 million a year ago. Our adjusted EPS was $0.47 compared to $0.28 in Q1 of 2023. Results for the quarter do not affect our expectations for full year guidance. Our adjusted results for the quarter excludes $7 million for the positive income effects of FX in the embedded derivative in Mexico. G&A expenses for the quarter were $59 million, down from $62 million a year ago. Net interest income in the quarter was $39 million compared to $49 million last quarter and $41 million a year ago. Based on comments from the fed, we are anticipating the net interest income run rate for the rest of 2024 will remain in this range. New awards of $7 billion in the quarter improved our ending backlog balance to $32.7 billion, which is now 80% reimbursable. Based on our prospect pipeline, we anticipate a book-to-burn ratio equal to or in excess of 1 for the third straight year. 
 Moving to Slide 13. Our cash and marketable securities balance for the quarter was $2.3 billion. This excludes amounts held by NuScale. Operating cash flow for the quarter was an outflow of $111 million compared to an outflow of $161 million a year ago and reflects increases in working capital needs for reimbursable projects, the usual timing of annual incentive payments and $55 million in funding for legacy projects. During Q1, we completed the sale of Stork's European operations to Bilfinger. We also entered into an agreement to sell Stork's UK operations and expect to close this transaction as early as the second quarter. This is a significant milestone as it represents the final planned divestiture of our noncore businesses. 
 Please turn to Slide 14. We are affirming our 2024 adjusted earnings per share guidance of $2.50 to $3 and our adjusted EBITDA guidance of $600 million to $700 million. Our expectations for operating cash flow are between $450 million and $600 million. This excludes up to $150 million in funding for legacy projects. Our assumptions for 2024 include revenue growth of approximately 15%, G&A expense of approximately $190 million and an effective tax rate of approximately 35%. Our expectations for 2024 full year segment margins are: approximately 5% in Energy Solutions, approximately 4% in Urban Solutions and approximately 6% in Mission Solutions. 
 Operator, we are now ready for our first question. 
Operator: [Operator Instructions] Your first question comes from the line of James Cook of Truist Securities. 
Jamie Cook: Well, close. It's Jamie Cook. But I haven't gotten that one before. I guess 2 questions. Joe, it looks like you increased your free cash flow guide. I think you're saying 450 -- or sorry, your operating cash flow guide, $450 million to $600 million versus before, I think you were $350 million to $450 million, which is nice to see because it's now more approximating EBITDA. So what were the drivers behind that? And given the stronger cash flow generation, how are you thinking about capital allocation in the back half of the year? 
 And then just my second question,is just the ramp to get to your EBITDA guide, the $600 million to $700 million. I think the first quarter adjusted EBITDA was $88 million. So how do we think about that ramp, given sort of probably a weaker first quarter? So yes, I guess those are my 2 questions. 
Joseph Brennan: Yes. Thanks, Jamie. From a cash perspective, we are -- we've got included in our guidance some of the activity and the repatriation of the dividends, obviously, from LNGC. But what we're really seeing is kind of an underlying -- a bit more clarity relative to the trajectory of our margins as we push into an 80% reimbursable model. So we're getting a lot more clarity in terms of how that cash flow is going to flow into our cash flow statements for the year. And we just feel as though with the early onboarding of some of the activities in Urban Solutions, that the business will start to generate a better cash flow profile. And I think that's where -- we're just kind of leaning into that confidence and having better transparency into how that cash is going to turn into free operating cash flow for us. 
 On the capital allocation, nothing's changed, Jamie. We are going to be communicating with you relative to our stated goals around returning shareholder capital. We'll do that as we get out into the latter half of the year. 
 And from a ramp perspective, I think we've progressed a bit quicker than even we had anticipated in getting up to the 80% reimbursable. And that ramp is really -- that backlog is really going to start being the headline story as we move forward. So I would expect a very -- and an 80% reimbursable model, what we're looking at, Jamie, is a nice, less volatile ramp as we kind of get to the end of the year. So I would expect to see a nice -- a little bit more linear ramp as we get from Q2 into Q4. 
Operator: Your next question comes from the line of Steven Fisher of UBS. 
Steven Fisher: You mentioned that the JV is working on a commercial resolution in Mexico. What's the degree of risk of further charges there on that project? I know you mentioned that's sort of a non-Pemex project. But I feel like more broadly in Mexico, as a place to do business for you, it's had its ups and downs. So -- and given those ups and downs kind of continue here, how do you think about the risk/reward of continuing to work in Mexico? 
David Constable: Thanks for the question. It's David. So we said ICA Fluor is probably -- as you look historically across the company, ICA Fluor is, I would say, our best joint venture from a performance standpoint that we've had in the company, really strong performance financially here, certainly since I've returned the great work with Pemex on their refinery system. In fact, Dos Bocas is now mechanically complete, and we're supporting start-up as we speak. So we continue to do really great work for Pemex and this particular project. So I'm bullish on Mexico and ICA Fluor and the work they do down there. 
 This particular project, as you heard, was a very small project. It's a subcontract actually, a unit rate contract on the direct costs, a couple of hundred million dollars, construction only and for, like you heard, commercial clients that were we're working with in locations Ensenada in Baja California, which is a challenging location, a volatile geographic location and a very unique situation with border control issues and, therefore, craft labor instability. So we've been negotiating a cost increase and schedule extension over the past 6 months. However, in Q1, it became apparent that the labor market -- due to that unique location, the labor market is degraded to the point where the initial negotiation is not sufficient. So the joint venture and Fluor and ICA are currently addressing these challenges with the clients, and the cost increases had to be obviously taken up in the first quarter. But as we've done with many of our legacy projects, revenue recovery to [indiscernible] perfection is where we're focused on this small subcontract right now. 
Joseph Brennan: Yes. Maybe the only thing I would add is just to provide a little bit more color around labor challenges that we see in the region with its proximity to the border and some of the other activities that happen up in the northern region above. And we've got a lot of experience doing work in that region, but it's just been exacerbated coming out of the holidays. And again, with this proximity to the border, the attraction and retention of craft resources has become increasingly more challenging and more difficult. And it is a set of challenges that we really don't have on any of our other projects in our portfolio. It's really unique to this project. But as David said, we're working through those challenges with the client to get the best commercial settlement resolution. 
Steven Fisher: And remind me, when was that project booked? 
David Constable: 2021, August of '21. 
Steven Fisher: Okay. And so just my follow-up is the sort of idea... 
David Constable: It's scheduled for completion in February of 2025. 
Steven Fisher: Okay. That's helpful. And I guess just the concept of clean quarters with higher margins and consistency still seems like the vision here. And there's a lot of pieces of that being put in place, but it's just not quite there yet. So we know this is a long-cycle business. It takes time to work through some older projects. So what kind of confidence can we have in the timing of achieving those consistent quarters and delivering those nicely higher margins that you're putting into backlog on a consistent basis now? 
Joseph Brennan: Yes. No, thanks for the question. I guess I look through it through the lens of the progress that we're making on our reimbursable portfolio. And where we are in terms of where we said we would be by the end of this year at 75%, being up in the 80% range, booking a $7 billion award quarter in Q1 at 90-plus percent reimbursable, I think that's giving us comfort that as we get a better balance of the risk profile within the P&L, that we'll start to eliminate some of that volatility moving forward. And I think all of those factors and proven by not only the bookings, but the opportunities that we see in front of us, remain very heavily weighted towards the reimbursable side of the ledger. So I think that will help us get some of that volatility that continues and certainly having more linear discussions relative to revenue and EBITDA profiles moving forward. 
Operator: Your next question comes from the line of Andy Wittmann of Baird. 
Andrew J. Wittmann: I wanted to have you drill in a little bit more on your Mission Solutions joint ventures, David, you mentioned them in your script, that the fact that these aren't showing up in backlog, but they're factored into your margin guidance. Obviously, the Mission segment margins guidance here is much higher than you posted in the quarter and, frankly, much higher than we've seen in a while. So it's clearly having a discernible impact. Given that, I thought it would be helpful for you to talk about the status or which contracts, in particular, if you can, are contributing to that margin outlook and if they've already begun. Certainly, in the quarter, you talked in the press release your role at Hanford. There's another one that you had at Arnold Engineering Center. I believe that's a fairly decent sized one. Maybe if you could just talk -- Joe, talk about the projects that are contributing there and if there's any protest or things that have to be worked through if you're able to recognize those as profit. 
Joseph Brennan: Andy, well, maybe I'll talk a little bit about what's going down -- going on down below the line and the NCI. On an unrecognized proportional basis, we have approximately $2 billion worth of revenue that's not being reflected in the overall backlog for Mission Solutions. So I think that's obviously a big chunk and a big reason for the increased margin guidance and Pantex itself will also be another nonconsolidating opportunity for us of a very significant nature, in the $30 billion range. 
 So we're working on how we'll communicate a little bit better because of the size of some of the opportunities that are going to flow in there below and above the line. And we'll work on providing you some better guidance around what that margin means relative to Mission Solutions as we progress that into Q2 and Q3. So those are kind of the underlying reasons that you're seeing that margin guide push up to the 6%. 
David Constable: Yes. There's a lot of good things going on in Mission Solutions, Andy. We've had recent awards from FEMA, $525 million over 5 years. We've got the Hanford tank's contract, $45 billion over 15 years. Looking at Longview Fusion, up further out in time, which is very interesting, the technology that we're right in the forefront of with the award there with Longview. We're waiting for announcements from the National Cancer Institute; Pantex, Joe mentioned. We've got enrichment bids out there for a nuclear fuel. There's 3 bids outstanding right now. Strategic Petroleum Reserve is going to, we think, come in again as an extension, so lots going on in the nuclear and environmental space. 
 And then the national security side, including defense and intelligence, you've got all that [ half CAP ] work. I mentioned the [indiscernible] program, as well the Test Operations and Sustainment program for the Air Force. So -- and then a lot of work in the intelligence space with, right now, 6 outstanding award announcements that we're waiting on. So -- and many bids in process. So a lot going on right now, a very busy time in Mission Solutions, especially as they support national security right now. 
Andrew J. Wittmann: Joe, is there anything to read into your comment there? You just brought up Pantex as something that could have a significant thing. Is there any updates that you have beyond just you expect to hear something this summer? And this is a contract that you guys won and then coming back with -- they're reissuing the RFP and you're coming back at it. But is there any update that you can provide on that one? 
Joseph Brennan: We've submitted the proposal, and it's under review with the government. It's expected that we would hear something within the next month or so. But yes, it's -- we're kind of being held a bit hostage relative to when the government wants to announce the release. But we would expect it within the next 2 to 4 weeks. At least, that's early warning signals at this point. 
David Constable: It could be later, too, right? And it's -- they don't want to make the award before the election. Let's put it that way. And so they usually take up to a year to award those types of contracts, and we'll be coming up on a year in September. And obviously, there's good chance it'll be protested, so more to come on Pantex. 
Andrew J. Wittmann: Yes. Okay. Just last one for me, just on NuScale here. I was just wondering what kind of you guys are thinking is a realistic outcome. Obviously, you've been talking about this one for some time. There's been various kind of milestones that have kind of come and gone, and obviously, the story over NuScale fluctuated as well. So I just kind of want to get your thoughts for realistic outcome in terms of process and/or timing. 
David Constable: Yes. So it's very exciting times right now, right, especially with the demand, as I mentioned in the remarks. Investor and power offtake interest in the carbon-free NuScale technology, I don't think has ever been greater as I've been following it, right? And you just -- if you follow, obviously, the comments that I made on data centers. The need for data centers, obviously, rapidly increased even more so with artificial intelligence. I think in the U.S. market alone, power consumption, to reflect the number of servers that are expected, they're going to need 35,000 megawatts, right, versus, I think, we're at 17,000 megawatts right now by 2030. So it's a massive requirement on clean power. And I can tell you that there's significant and detailed discussions ongoing with those types of clients looking to NuScale to solve those challenges. So the demand is there. 
 We have exclusivity with our strategic investor ongoing. It's a very complex deal, I'll say that, but with a lot of moving parts. But I'd say that it's also -- it's industry-leading when it comes to the path that strategic investors taking from a development standpoint globally for NuScale. So very -- I'm very supportive of the business model that the strategic investors has come up with. 
 And we have 3 overarching objectives that we need on our side to ensure success. And that is: first of all, ensure the successful commercialization of the NuScale technology, number one; number two, drive maximum value for Fluor's shareholders through the monetization of our NuScale shares; and thirdly, and importantly, ensure Fluor's engineering construction and project management services are participating globally on NuScale projects where we can add value. So all that is part of the path forward. And so yes, it continues to move forward. 
 And like I said, with that investor and power offtake interest, things will, I think, move forward positively, time line-wise. Like I said, we'll continue to update you through the year and hopefully see something later in 2024 that we can be really excited about for ourselves and our shareholders. Thanks. 
Operator: Your next question comes from the line of Michael Dudas of Vertical Research. 
Michael Dudas: David, a follow-up on your -- with your NuScale answer on data centers. So remind us how Fluor is positioned in that market. Is there comparisons on Fluor's positioning on the construction relative to, say, the semiconductor cycle a couple of years ago? And is it -- it seems early stage, but is there a lot of red tape, regulatory, maybe power -- consumption demand is enormous, but that's got to be parsed out. So maybe you could share a little bit about how that timing and how Fluor gets involved and can that be visible to the backlog over the next 12 to 18 months? 
David Constable: So yes, semiconductor work is ongoing and growing, as you know, and we're in the middle of that market. Data centers, I'd say, it is a very similar model, right, that we're looking at to support build-out of data centers in the U.S. and globally. For example, our build-out of data centers for Microsoft in India is one example internationally. But we expect to also bring that experience to bear in the U.S. as these data centers start to come out to bid. 
 And so I would say they'll be increasing the backlog in ATLS going forward. So -- and we're well-positioned to support those clients in that space. And you know who the big players are for data centers. And -- so we're right in the thick of it right now in positioning. So yes, that's what we got on that. 
Michael Dudas: I appreciate that. And then maybe on a follow-up, given what you just mentioned there and the activity and all the manufacturing reshoring in Life Science and the bookings you've had, and then any sense of capacity and competition? Are clients starting to get more concerned about the ability to bring on the talent that's required from a vendor and from a contractor space? And how do you think that's going to reflect in your ability to better continue these margin improvements? I guess that's a part of why the margin is moving up and getting better T&Cs. 
David Constable: Most definitely. Certainly, in that market space, you can consider it a seller's market, not only in the EPC space but in the vendor space as well. Some clients are just deciding to sign up agreements to make sure they get their arms around A teams and engineering talent so that they have locked out their competition. So it's -- it is a capacity challenge. We've been -- we started our talent task force a couple of years ago. As our backlog started to grow, we started booking this $20 billion years -- a couple of years ago. And the talent task force has really done a great job. We've been hiring 5,000 people a year for the past couple of years. We only have 1,400 open requisitions right now that are not required immediately, so we've got time for those 1,400, but that's where we stand. And so luckily,we got a jump on that. 
 We also are redeploying right now. If you look at the backlog, what is it, almost $19 billion in ATLS and circa $10 billion in Energy Solutions, and we've got people in Energy Solutions that are easily redeployable and can cross-pollinate into those big ATLS. ATLS now has mega projects, which, in the past, used to be -- $500 million used to be a large project over there. So bringing over project management -- or project execution skills from elsewhere in the company is really what we're focusing on to make sure we can execute, and that's going really well. So in fact, the leader of ATLS, Richard Meserole, ran the big $46 billion TCO project. And so he's -- understands what large projects require, and that's how we're going after all that ATLS work. 
 But yes, it's -- vendors are also taking advantage. We're seeing price increases and longer scheduled deliveries. And so we've got to be very careful on that front and make sure the estimates and -- are realistic for our clients as well. So thanks, Mike. 
Operator: [Operator Instructions] Your next question comes from the line of Sangita Jain of KeyBanc. 
Alexander Dwyer: This is Alex on for Sangita. I just had one. Can you talk about your success in winning bids this quarter? Last quarter, you had mentioned you won 78% of all pursuits last year. So I'm wondering if the strong backlog this quarter is more a function of a continued higher win rate. Or is it just more demand and more awards coming to market? 
David Constable: So yes, we track our win rate. I didn't see it this quarter. We -- I look at it on an annual basis. And like you said, we're, what, 78% hit rate last -- in 2023. I would expect that to continue. That's a pretty high number. I think historically, we're in the 50% to 70% range. 
 So I think our selectivity is -- our pursuit criteria and our selectivity screens on our prospects is allowing us to have a very high win rate. We're only going after prospects that we can deliver on, and we have A teams for. So for the most part, and as we just talked about with Mike, a bit of a seller's market out there in most of our markets, many of our markets, which allows us to be more selective. 
 And when I do look at the small amount of losses that we have each quarter, the vast majority of our losses are lost on price, and we'd love to lose on price, right? So we want to get paid through our strategic priorities, fair and balanced contract terms, and that means getting paid, having a fair contract, fair risk profile and getting paid for the value we provide. So yes, if we're going to lose, that's how to lose it. But we just -- we need to deploy our key resources on prospects where the margins are starting to grow, and so we'll continue to push on that. Thanks. 
Operator: Your next question comes from the line of Natalia Bak of Citibank. 
Natalia Bak: This is Natalia Bak on behalf of Andy Kaplowitz. You mentioned you expect a book-to-bill in excess of 1 for the year, as well as an 80% reimbursable backlog, you're expecting more linear ramp-up as you get from 2Q to 4Q. So maybe you could talk about the cadence of bookings across the segments. And is that linear ramp-up something you expect across all the segments? 
David Constable: Can you -- I'm sorry. The last couple of questions have been very difficult to hear. I'm not sure if you could get a little closer to the mic or help us with that question one more time. Thanks. 
Natalia Bak: No, it's all good. So you mentioned you expect a book-to-bill in excess of 1 for the year. As well as an 80% reimbursable backlog, you're expecting more linear ramp-up as you get from 2Q to 4Q. So maybe you could talk about the cadence of bookings across all the segments. And is that linear ramp-up something you expect for all across the segments? 
Joseph Brennan: Well, maybe I'll start, Natalia with -- from the earnings side. Yes, we see strength across all 3 of our segments in terms of kind of supporting that linear growth model across the balance of the year. So -- and I think that's supported by not only the new awards that we put in this quarter, but the $7 billion that we booked in Q4 as well have really kind of kickstarted the kind of trajectory for the year that gives us confidence in terms of what that margin profile is going to look forward or look like over the next 3 quarters. 
 On the new awards cadence, I don't know, David, if you want to... 
David Constable: Yes, I agree with you. I mean, I would expect that 80% reimbursable to be there or higher by the end of the year, based on what we're seeing, right? We've just had a very few -- of the current $35 billion we're chasing in the next 4 quarters, I think there's just a couple of lump-sum prospects in there. So the reimbursable prospects -- projects will continue to go up in backlog, and we expect a higher margin profile to continue. 
 Obviously, ATLS, we talked about it a lot today. As far as cadence across the segments and the businesses, ATLS remains very promising in the significant opportunities in data centers and chips and pharma, but also in Mining & Metals. They're in a very good place right now. We have key chemical projects out there, and energy transition markets across all the entire portfolio continues to be very strong. So we're going to see awards coming in across Urban Solutions, Energy Solutions, supplemented by recompete awards or extension awards in Mission Solutions. 
Natalia Bak: Okay. That's helpful. And then just one more question from me. If you could just give us a little more color on what you're seeing in terms of demand by region and how you think about geopolitical risk? Do you see Middle East as a good source of bookings in 2024 or prospects more weighted towards Americas? 
David Constable: Yes. We've been booking a lot of work internationally recently. Geopolitical -- our clients -- our major clients, not the developers, but our key clients, for the most part, tend to look through short-term economic and geopolitical challenges, right, which -- and they're operating as multinationals globally. So if they didn't, we would not have $32.7 billion in backlog, right, with all the challenges out there and the uncertainty. So their CapEx plans and their capital allocation business model returns, they're able to play the long game. So we're not seeing any reduction or challenge with our clients' CapEx plans due to geopolitical risk. Certainly, they are diversifying out of certain regions and countries, for example, the whole China Plus One derisking scenario that we're all in the middle of right now and supporting. 
 But yes, our top dozen customers, they spend between $160 billion, $165 billion in CapEx. These are commercial customers, $160 billion, $165 billion in 2023. Their '24 CapEx is $155 billion to $165 billion, so up slightly. And beyond 2024, it's $165 billion to $180 billion. So their CapEx continues to stay at least flat, but, for the most part, is actually increasing when you look at our -- again, our primary -- that's just the top 12 customers that we're looking at. 
 And then obviously, you've got -- that doesn't include our government budget, right? Request for the U.S. Army is about $186 billion this year for the Army. Department of Energy is $52 billion, and FEMA is going to probably spend $26 billion. And TxDOT here in Texas, where we do a lot of infrastructure work, is up as well. All those numbers are up there. TxDOT's up to $16 billion this year. So yes, that's how I look at it. I see the markets still continue to be very strong, and we'll continue to grow backlog. 
Joseph Brennan: If I could add, I think we've seen significant traction on bookings in the United States, which is quite helpful. If you've been following the story, we have not been profitable in the U.S. for a number of reasons over the past 5, 6 years relative to some performance prior to David and I arriving, and that has put us in a loss position in the U.S., which has created some tax friction. We're starting to see a very clean pathway to getting back to profitable in the United States, which will have some other kind of tag-along benefits related to our effective tax rates and our use of value VA sitting on our balance sheet. So that's a long-winded way of saying, yes, we're starting to see some traction and growth in our backlog here in the United States. 
Operator: Your next question comes from the line of Michael Feniger of Bank of America. 
Michael Feniger: Just when we think about operating cash flow guidance, obviously, this year started use of, I think, $110 million, better than what it was a year ago. Just to get to that positive full year guide, I know there's a level of seasonality. Just any guardrails you can kind of give us as we kind of prepare of Q2 and Q3. Is the bulk of that cash from ops? Is that mostly Q4? Does it kind of inflect as we go into Q2? Just try to give us some guardrails on preparing how that cadence plays out through the year. 
Joseph Brennan: Yes. I think you'll see the more significant ramp, Mike, on -- towards the back end of the year. There will be some lumpiness as it relates during the year in Q2 and Q3, but with the majority of that a little bit more back-end loaded related to some of the dividends that we're looking to repatriate in the middle part of 2024. So it's -- it'll reasonably kind of flat between Q2 and Q3, and I think you'll see an uptick as we get closer to the end of the year. 
Michael Feniger: Great. And just my follow-up, on the $150 million of legacy funding, I believe that hasn't changed. Just any guidepost of how that could potentially move better or more through the year? Any catalysts that we should kind of keep our eyes out for as you kind of progress through the year? And just that $150 million, just directionally, how does that kind of look as we enter 2025 and some of these projects start to wind down or come close to completion? 
Joseph Brennan: Yes. Let me talk about heading into 2025. I think we'll have de minimis amounts of funding requirements on loss projects in 2025. I think the bulk of what we're trying to achieve relative to the completion of those projects will kind of come to fruition in 2024. 
 And on the legacy funding of the project, that's the starting point. And if you look at, historically, what we've been able to do over the last couple of years is that signpost at the beginning of the year relative to cash flow requirements on loss projects, we've been able to significantly reduce that number. And our expectation is that $150 million will be driven down to its lowest common denominator here for the year. And within, we feel comfortable based on historically how we've been able to achieve that. 
Operator: That concludes our Q&A session. I will now turn the conference back over to David Constable, Chairman and CEO, for closing remarks. 
David Constable: Great. Thank you, operator, and many thanks to all of you for participating on our call today. Given our performance over the last 3 years and our strong position in the marketplace, we expect to continue to generate substantial value for our shareholders in the future. 
 Appreciate your interest in Fluor, and thank you again for your time today. 
Operator: This concludes today's conference call. You may now disconnect.